Operator: Greetings and welcome to the Global Medical Fourth Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Steve Swett, Investor Relations. Thank you, sir. You may begin.
Steve Swett: Thank you. Good morning everyone and welcome to Global Medical REIT’s fourth quarter and full year 2022 earnings conference call. On the call today are Jeff Busch, Chief Executive Officer; Alfonzo Leon, Chief Investment Officer; and Bob Kiernan, Chief Financial Officer. Please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements that are not historical facts and are considered forward-looking. The company intends these forward-looking statements to be covered by the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995 and is making this statement for purpose of complying with those Safe Harbor provisions. Furthermore, actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of risks and factors that are beyond the company’s control, including, without limitation, those contained in the company’s 10-K for the year ended December 31st, 2022, and its other SEC filings. The company assumes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events, or otherwise. Additionally, on this call, the company may refer to certain non-GAAP financial measures such as funds from operations, adjusted funds from operations, EBITDAre and adjusted EBITDAre. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP numbers in the company’s earnings release and filings with the SEC. Additional information may be found on the Investor Relations page on the company’s website at www.globalmedicalreit.com. I would now like to turn the call over to Jeff Busch, Chief Executive Officer of Global Medical REIT. Jeff?
Jeffrey Busch: Thank you, Steve. Good morning and thank you for joining our fourth quarter and full year 2022 earnings call.  Our high quality portfolio of needs-based healthcare facilities continues to produce excellent results. At the end of the fourth quarter, portfolio occupancy was 96.5% with a weighted average lease term of 6.2 years and a portfolio average rent coverage of 4.4. Year-over-year, we achieved a 19.6% increase in total revenue, driven primarily by our acquisition activity early in 2022. For the fourth quarter, reflecting the impact of rising interest rate, our net income attributable to common shareholders was $369,000, $0.01 per share compared to $3.8 million or 0.06 per share in the fourth quarter of 2021. Recall also that the fourth quarter of 2021 number included a gain on sale of $1.1 million. FFO in the fourth quarter was $0.22 per share and unit, down $0.01 from the prior year quarter and our AFFO was $0.24 per share and unit, in line with the fourth quarter of 2021. Looking forward, we have ample liquidity, which allows us to be patient as we look for markets to improve. As we mentioned last quarter, we have been spending time identifying properties that we could sell as a means to reduce our outstanding debt in preparation from when the market conditions improve. We currently are optimistic that we can generate proceeds from the sales of approximately $90 million at a weighted average cap rate of between 6% and 6.5% and are already placed under contract for sale to assets for gross proceeds of $11.6 million. If we are able to close on $90 million of dispositions, we would reduce our variable debt to approximately 10% of our total debt, while also reducing our leverage to a target range of 40% to 45%. We continue to look for quality properties that meet our investment criteria, although our ability to acquire our Targa property became more difficult as the effects of higher interest rates increased our cost of capital. We remain nimble in our approach to acquisitions. For example, pursuing deals that utilize OP units and based on our pipeline expect to acquire approximately $100 million of assets this year. Overall, I am pleased with the fourth quarter results and want to thank the entire team for their hard work and contributions to our results. With that, I turn the call over to Alfonzo to discuss our investment activity in more detail.
Alfonzo Leon: Thank you, Jeff. As Jeff mentioned, the transaction market for target medical facilities that meet our investment criteria has slowed significantly as buyers and sellers adapt to changing interest rates for divergent views on cap rates. We continue to see a large number of opportunities in the fourth quarter typical of year end seasonality, but opted to pass as we saw nothing compelling giving our cost of capital. We continue to review potential deals and as of February 28th, had one acquisition under contract for a purchase price of $6.7 million that we will fund primarily with OP units. With respect to the acquisition market, we believe physician groups and some corporate sellers will remain on the sidelines until market conditions improve. Some owners could be forced to sell, they are unable to refinance their mortgages. We hope that by the second half of 2023, there will be more predictability with respect to the market interest rates and the acquisition market more broadly. Regarding efforts to reduce our leverage, we have been able to successfully place new properties under contract for sale for proceeds of $11.6 million and are optimistic that we can complete other dispositions that would generate a total of approximately $90 million of proceeds at a cap rate between 6% and 6.5% during the first half of 2023. We have been pleased with the level of investor interest in our assets as we go through this process. With respect to other investment opportunities, we are seeing an increase in inbound calls on development capital funding due to the combination of cost increases and higher cap rates pushing rents significantly higher from new construction and developers having a harder time finding financing for projects. We are also having discussions on and evaluating other investment options such as joint ventures that could expand our investment opportunities and diversify our revenue stream. We believe the stability of our diversified portfolio of quality medical office in 35 states, lease the leading healthcare providers in each submarket, combined with our available liquidity allows us to be patient as the acquisition market for our asset class finds equilibrium. Smaller owners of medical office are likely going to struggle with refinancing their assets, funding tenant improvement allowances and enduring re-leasing risk. The macro trends for medical office are excellent, but you need a large diversified portfolio to reduce idiosyncratic risk and access the capital to outcompete other buildings in each submarket. It is also likely that the tourist capital that came into medical office in 2021 and 2022 will exit leaving the market to dedicated funds. Their exit would create opportunities. We have been through cycles such as this before and know that the transaction market takes time to adapt. We will continue to source opportunities that make sense and potentially use some competitive advantages such as scale, access to capital and OP unit deal structures where we can. Given our view of the market, we expect our acquisition activity to pick up in the second half of 2023. And as Jeff mentioned, we are targeting to complete $100 million of accretive acquisitions during 2023. However, market conditions can be unpredictable and there's no assurance that we won't be able to meet our acquisition targets. I'd like now to turn the call over to Bob to discuss our financial results. Bob?
Robert Kiernan: Thank you, Alfonzo. GMRE's portfolio continues to produce solid results. At the end of the fourth quarter 2022, our portfolio consists of first investments in real estate of $1.5 billion and includes $4.9 million of total leasable square feet, 96.5% occupancy, 6.2 years of weighted average lease term, 4.4 times rent coverage with 2.1% weighted average contractual rent escalation. In the fourth quarter, we achieved a 19.6% year-over-year increase in total revenues of $36.3 million, driven primarily by our acquisition activity over the past year. On a same-store basis, excluding cash basis leases, our fourth quarter revenues were up $495,000 or 2% compared to the fourth quarter of 2021. Our total expenses for the fourth quarter of 2022 were $34.5 million compared to $25.9 million in the prior year quarter. The increase was primarily due to higher interest costs due to increases in both market interest rates and average debt balances, along with higher operating, depreciation, and amortization expenses due to our larger portfolio. Our interest expense in the fourth quarter was $8.1 million compared to $4.8 million in the comparable quarter of last year, reflecting both higher average debt balances and increased interest rates. To illustrate the effect the rapid increase in interest rates has had on our interest expense, our weighted average interest rate during the fourth quarter of 2022 was 4.07% and compares to 3.65% during the previous quarter and 2.88% during the fourth quarter of 2021, representing an increase of about 120 basis points in just one year. The increase in interest expenses occurred despite our having fixed interest rate on approximately 80% of our indebtedness weighted average interest rate of 3.75% as of December 31, 2022. Given the effect interest rate increases have on the cost of our variable debt, as Jeff noted, we plan to use the proceeds from our current and expected dispositions to repay amounts on our revolver and reduce our overall leverage to our target range of between 40% to 45%. G&A expenses for the fourth quarter of 2022 were $4.1 million compared to $3.9 million in the fourth quarter of 20 21. Within our current quarter G&A expenses, note that our stock compensation costs in the quarter were $1.1 million and our cash G&A costs were $3 million. Looking ahead, we expect our G&A expenses in 2023 to increase in range between $4.2 million and $4.6 million on a quarterly basis. Our operating expenses for the fourth quarter were $7.1 million compared to $4.5 million in the prior year quarter, with the increase in these expenses primarily driven by the growth in our portfolio. Regarding these fourth quarter 2022 expenses, $5.3 million related to leases where the company recognized a comparable amount of expense recovery revenue is $1.5 million related to gross leases. Net income attributable to common stockholders for the fourth quarter of 2022 was $369,000 or $0.01 per share compared to $3.8 million or $0.06 per share in the fourth quarter of 2021. FFO in the fourth quarter was $15.5 million or $0.22 per share in unit compared to $15.6 million or $0.23 per share in unit in the fourth quarter of 2021. AFFO in the fourth quarter was $16.5 million or $0.24 per share in unit compared to $16.4 million and similarly $0.24 per share in unit in the fourth quarter of 2021. Moving on to the balance sheet. As of December 31st, 2022, our gross investment in real estate was $1.5 billion, which is up $141 million from a year earlier. We did not issue any shares of common stock under our ATM in the fourth quarter or to-date in the first quarter of this year. As of December 31st, 2022, we had $704 million of gross debt, our leverage ratio was 47.6%, and our weighted average interest rate was 4.2%. As of quarter end, the weighted average remaining term of our debt was 3.9 years. The current unutilized borrowing capacity under the credit facility was $245 million. With respect to our investment portfolio and our 2023 lease expirations, we are pleased with our progress on renewals and based on activity to-date, currently are projected to retain between 85% and 90% of the 363,000 square feet that is expiring this year. Additionally, we are in discussions to lease up approximately 20,000 square feet that is currently vacant and have executed leases of 15,000 square feet of current vacancy with tenants scheduled to take occupancy in 2023. Currently, we are expecting that our occupancy during 2023 will be above 96% throughout the year. Regarding capital expenditures on the portfolio, currently, we are projecting approximately $6 million in capital expenditures and $4 million in tenant improvement, primarily associated with lease renewals and lease-up to be completed during 2023. While market conditions are challenging, we are optimistic that we will be able to reduce our leverage and ramp up our acquisition activities during 2023 and look forward to sharing our progress with you throughout the year. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Austin Wurschmidt with KeyBanc Capital Markets. Please proceed with your question.
Austin Wurschmidt: Thanks and good morning everybody. With respect to the $90 million of targeted sales that you highlighted, can you give us some additional detail about how far along you are in the negotiations for that beyond the roughly $12 million you highlighted? And how should we think about the timing of those deals closing? Would you consider these assets reflective of the overall portfolio? Just some additional detail would be helpful.
Alfonzo Leon: Sure. I'll take that. So, we have two properties under contract, those are the ones that add up to $11 million. One of those actually the diligence period has expired. So, that one we're looking to close within the next weeks, one, two, three weeks here from today. The other one is still in diligence. And then we have two other assets, one that's approximately $9 million that is still in the first round of bidding, but we're getting very strong interest in that property. This is one that's a cancer center that we bought when it was owned by a group of physicians, but bonds, of course, came in, bought that group and extended the lease. So, we're getting a lot of interest on that one and we're expecting pricing to be under a fixed cap. In that one, we've had about 120 interested investors on that one. And there's another property that's approximately $68 million and we finished first round of bids and are in the second round of bidding. But that one is going to take some time to get under contract and then the diligence period. So, we're looking at two to three months before we can get that one closed.
Austin Wurschmidt: That's helpful. And then just speaking maybe to the investment pipeline, I mean, how big is the investment pipeline today? Are you seeing bid/ask spreads narrow? And what type of cap rate are you targeting on the $100 million of potential acquisitions you discussed for this year?
Alfonzo Leon: Sure. I mean, we're targeting mid to high sevens and potentially even eight caps. Even though we've not been active putting deals under LOI or under contract, we have been very active of trying to track the market, understand where cap rates are and understanding where financing is for assets, what kind of pricing people are getting when they're trying to buy with mortgages. I would say that most of the movement in cap rates happened last year. So far, the first two months of this year, it's been a story of just affirming kind of where the year ended. And so basically all the cap rate compression that the market witnessed in 2021 and 2022 has gone. We're back to call it, 2019 pricing. So, things that used to trade at a 7 are trading at a 7 again and things that used to trade at a low 6 are trading at a low 6 again. So, in the niche that we've targeted historically, we're not competing with the bulk of the money, we're not chasing the core assets and the credit deals. We've historically always chased position credit and deals that traded 100, 200 basis points of our workforce pricing. And right now, those assets are back to 7 caps. In terms of the bid/ask spread that I think we've all been hearing in the market, I mean that is a thing. There is seasonality to transactions. So, even though December was, I would call it, fairly busy in terms of new investment opportunities that were available. January was probably slower than it has been in the past. And February, there was a pickup. It's hard to gauge exactly how the year is going to shake out. There's still a good amount of money that wants to invest. I mean, as we witnessed even in the properties that we put for sale, I mean, there's a lot of buyers that are hungry for deals that kind of really fit a kind of core plus profile. So, there is ample demand and I think in terms of supply to the market, it's -- I think a lot of people recognize that 2021 and 2022 were outliers and I think there is acknowledgment that the pricing was very rich. And so there are a lot of sellers today that acknowledge that pricing is probably not coming back again. And if they decide to sell, it's going to be for typical reasons. It's going to be just the right timing, the right hold period. Where there's a transition in the physician group. If it's a developer that is two years after certificate of occupancy, this is the right time. There's going to be a lot of natural sellers that are going to start emerging. And I think everyone decided to wait for a couple of months to kind of let the -- let things settle and just get a better sense for where interest rates are going and what's happening in the market. But there is growing consensus that the second half of the year is going to be fairly busy. I think it's going to be a lot of people that are going to be playing catch up. And I think by then, the bid/ask spread is going to narrow and I think it's going to start moving to market.
Austin Wurschmidt: That's helpful. And on the inbound inquiries for development capital funding investment opportunities, how does the pipeline break down between those types of opportunities versus more traditional acquisitions? And I guess given your guide's size, how significant of an opportunity do you view this could be? What kind of terms are you looking for? And would there be an ultimate goal of owning these assets? A little more detail around that would be helpful. And that's it for me. Thank you.
Alfonzo Leon: Sure. So, on the development front, it's mostly either rehab facilities or behavioral facilities. On the medical office side, we've seen a few, but not as many. And the opportunity would be potentially either do a mass financing during construction or doing a forward takeout or doing a combination of those things or even potentially doing a joint venture. So, we started having these conversations in December and there's a few groups that we've been talking to that we're interested in continuing those dialogs. But it's something that we're in the early stages of discussion, evaluation and just understanding how we can position ourselves to add to our pipeline. In terms of acquisition, we're looking at what we typically looked at in the past and there are opportunities that are in front of us right now, but we're still several months away before we can really start putting things under LOI and under contract.
Austin Wurschmidt: But that $100 million you highlighted, that includes just all opportunities? This wouldn't be in addition to the $100 million?
Alfonzo Leon: Correct. Yes.
Austin Wurschmidt: Okay, great. Thanks guys.
Operator: Our next question comes from Juan Sanabria with BMO Capital Markets. Please proceed with your question.
Juan Sanabria: Hi, good morning. Just hoping to follow-up on a comment you made in your prepared remarks around looking at potential joint venture opportunities. Just hoping to flush that out a little bit more and how that may be structured? Would it be a one-time or setup or a vehicle where you look to grow with some sort of third party partner or partners?
Jeffrey Busch: I will start with this one. We are just looking at the opportunities out there, not necessarily ready to do one. It depends on how much we can add to AFFO and what we do. Is the partner somebody we can grow with and get capital? We would need to be doing assets that are not in what we normally buy right now, possibly buy the lower price core for them -- I mean lower cap rate core, not to compete with what we do, which is we add value, we buy a couple of points above what the core is and our properties often turn out the way we buy them. As you can see with our sales, often creditors come in, they add higher credits to them. When we extend the leases suddenly, there's a lot more value and it becomes sort of core. So we wouldn't do exactly the same, but we're just looking out in the market to see what the opportunities are and what it would add to our AFFO. Alfonzo, do you want to add?
Alfonzo Leon: Yes. And we've had a good number of conversations with different parties and have been, I would characterize it as exploratory thus far. But there are some opportunities that could make sense for us just depending on how the year shapes up. And I would say even on the private equity side, it's pretty clear that at the beginning of the year, everyone adopted a more cautious standby mode and a lot of the conversations I've had with those groups, it sounds like they're also targeting kind of second half of the year for them to really start getting active.
Juan Sanabria: Okay. Then -- thank you for that. I was hoping for the second question to get a little bit more color on the slight downtick in occupancy, kind of what drove that? And I think you highlighted you want to be above 96% for 2023 and so if you could maybe just help us bridge to how you get back there and the visibility in that improvement from the year end levels that'd be fantastic?
Jeffrey Busch: Yes. Before I turn that over to Bob, I just wanted to say that we do buy vacancy a little unusual for REIT, but we do go out and buy core really strong properties that we find sometimes 80% occupied and we now have the history of renting them up over time. So, the occupancy is we're trying to stay within that level, but we do see some really great opportunities that have vacancy that we believe we can rent up over time and we have a history of doing that like with our Fairfax property. I'll turn this over to Bob.
Robert Kiernan: Yes. Relative to the Q4 vacancy change, this really reflected the fact that one of our cash basis tenants -- our tenant in Westland, Michigan, it's been on cash basis since 2021. We were able to evict them in the period. So, the change that you're seeing in Q4, that was the vast majority of the change. And so really from a -- it doesn't really have a big financial impact on us from a prospective basis because it's already -- it's really been with us for some time at this point and this was just the actual eviction and moving them out of the facility.
Juan Sanabria: And then you kind of mentioned -- sorry.
Robert Kiernan: Sorry. So, prospectively, as we're looking at our lease-up activity for 2023, I mean, things are progressing really well relative to our lease-up activity. And again, we're forecasting that between that we will retain between 85% and 90 percent of the expiring square feet that are out there for 2023 and then we're making progress on vacant space. So, the combination of those things is what we're forecasting how things look as we head through 2023 that we'll try to really be in that 96% and above from an occupancy perspective.
Juan Sanabria: Thank you. And then just the last question on pipeline health. The tenant that came back from bankruptcy and reemerged in January. Could you just give us an update on comfort level that once you use up some undetermined amount of security deposits to help them pay their cash rents in 2023 on the sustainability of that rental stream to shareholders?
Alfonzo Leon: I can start with the comment. I mean, I think a lot of it -- a lot of the pressure in 2022 came from the wage inflation around nursing staff. And I mean, there is -- the year has started with relief on that side. And I think some of the things we were hearing at the beginning of the year, end of last year from pipeline about that line item, in particular, seems to be trending as they were predicting. So long as that continues finding relief and those rates start coming down, then I think the comfort level increases.
Juan Sanabria: Thank you.
Operator: Our next question comes from Rob Stevenson with Janney Montgomery Scott. Please proceed with your question.
Rob Stevenson: Good morning, guys. Alfonzo, you broke up a little bit when you were talking, I think one of the earlier questions about cap rates on the acquisition you were considering what's your hurdle rate there? What is the cap rates on the stuff that you're looking at this point given your cost of capital?
Alfonzo Leon: 7.5 or higher. I mean, we're looking at stuff in the high 7s and there's a few in the low 8s. But we really haven't found anything yet that is a good fit for us. There's -- the year did start off slow in January and February there was a pickup, but we're targeting north of 7.5
Rob Stevenson: Okay. And then Bob, in terms of financing that, the line of credit, your lowest cost incremental debt at this point?
Robert Kiernan: It still is, yes. I mean, it's -- from a borrowing capacity it's still -- I mean, from a financing rate perspective, it's still the lowest cost. I mean we've explored and looked at other potential sources, but I think at this point from a temporary basis as you -- if you think about the revolver, we would talk about the dispositions that would bring our variable rate debt down to 10% of our total debt with the dispositions. And then prospectively, we'd look to really over equitize, we'd look to maintain that leverage in that lower -- in that target range as we went ahead.
Rob Stevenson: Okay. And then I think that in the prepared comments, you guys said that the $6.7 million acquisition will be funded primarily with OP units. How are you guys thinking about that? Are those just struck at market levels? Was that a negotiation and struck at higher than $10 et cetera? How should we be thinking about that? And sort of -- the sort of fully-loaded yield on any type of acquisition funded today with equity?
Robert Kiernan: Yes. Essentially, we do it higher than the price. It's very negotiable because of the tax savings of them. So, we do it higher than the stock price on those OP units. We have some interest in them. I think when we start doing deals, since we're trying to reduce our leverage, we're trying to push more OP units out there. At one point, we weren't doing that. And we've been offered that, but we weren't doing that because it wasn't worth it to us at the time. But now OP units are important part of growing being more equity. We're real conscious of bringing down our debt levels and staying in the 40% to 45% and then as we grow in the future, even going below that. So, it's a goal of bringing down our debt. At the same time, we're finding product out there and we could sell assets in the low 6s and there seems to be a lot of demand for what we have in that low 6s and we are capable of then buying in 7 -- mid-7s to 8s. So, either way, whether our stock is there at the price issue or stock could be my preference or we could sell and buy and replace assets with higher. So, I think we can move on to the acquisitions mode right now given that there's tremendous demand for what we have and we can sell them in the 6s.
Rob Stevenson: Okay. And then last one from me. Bob, how should we be thinking about the sort of unreimbursed operating expenses that's accruing to you guys on some of this vacancy that could be a tailwind later in the year. How material winds up is that today for you guys?
Robert Kiernan: Rob, are you asking about the expense burn that we have on the vacant properties?
Rob Stevenson: Yes, I mean, if you get it leased up, I mean, it's a double whammy, right, is to deposit side, you get the rental revenue and then you get -- and then on a triple net lease, you get rid of some of the operating expenses. The revenue is sort of easier to figure out, but how much operating expenses are you incurring on an annual basis for the vacant assets or assets where you're on like the guy that you bumped out from an eviction standpoint?
Robert Kiernan: Right. No, you're exactly right. It is that double change where you were able to flip something from a negative to a positive. And just looking at, I mean, the run rate on some of the properties, it really gets to be, again, could be upwards $1 million to $1.5 million that you're carrying in those costs from the vacancies on an annual basis. And so with a high motivation to lease-up the vacant space and turn the situation around. That's not definitely an opportunity for us as we look at 2023.
Rob Stevenson: Okay, perfect. Thank you. Thanks guys. Appreciate the time.
Operator: Our next question comes from Bryan Maher with B. Riley Securities. Please proceed with your question.
Bryan Maher: Thanks. Good morning. Just a point of clarification. You're looking to do $100 million in asset acquisitions this year. I'm assuming that a gross number in $90 million sales. So, do I have this right like net would be a positive 10% or is there something different we should be thinking about?
Alfonzo Leon: That's probably about right in our target. I mean, I mean, we're targeting $100 million. It's an uncertain market right now, but we do believe that there's assets that we're starting to see in the price ranges where we could do and it will be profitable. So, that would be about this than the next year we hope to be back to our $200 million a year without selling assets.
Bryan Maher: Okay, that's helpful. And then just if we were in a world where you sold the $90 million and Alfonzo just couldn't get there with the $100 million, is there a level at which your stock trades that you might contemplate going into the market and buying some shares?
Alfonzo Leon: Yes, when we're accretive and the way I would define that is that we could buy properties essentially for equity. I don't want to add debt and that when the debt we see it accretive there, but we could still buy it for equity. That's about when that stock price matches where we could buy assets, that's where we could go in the market.
Bryan Maher: Okay. Thank you. That's all from me.
Operator: [Operator Instructions] Our next question comes from Aaron Hecht with JMP Securities. Please proceed with your question.
Aaron Hecht: Hey, guys. Good morning. Another point of clarification on the balance sheet with regards $100 million being deployed versus the $90 million being sold. Does that imply that we should be thinking that a majority of the capital being deployed is going to be funded with equity because I know you discussed bringing leverage down a number of times and reducing the variable rate? Or is there something else that we should be thinking about here? Or is that just held in isolation in terms of disposition and pro forma leverage?
Alfonzo Leon: We prefer to do it with equity. We don't know with this environment whether that exists or not or we do expect later in the year given that each turn of the Fed where there seems to be a vision that the Fed is going to stop raising, our stock starts rising so -- pretty nicely. So, we do prefer doing it in equity, but in case we can't do it in equity, we can sell more. I don't want to add to the debt. We really want to be stringent upon our debt to stay below 45% -- I mean in the 40% to 45% range.
Aaron Hecht: Understood. And then Bob, I think you made the comment about 10% to 15% of your expiring leases potentially going vacant. Is that a normal percentage per year for you guys? And is there anything unique about those properties that you think are going to go vacant that invest or should understand in terms of timeframe and duration may take to retained?
Robert Kiernan: I don't think there's anything unique about it. I think it's more just maybe a natural flow that that can occur with any expiration and re-leasing activity. So, achieving retention at the 85% to 90% level, we think is good as we then lease-up back -- lease-up from the current vacant space as that progresses, again, maintaining that occupancy at 96% and above. And then again, as that -- as we work off the 10% from again that wasn't retained and just continue that cycle. So, don't think it's anything particular or specific about the properties, I think it's just an overall flow from the business.
Aaron Hecht: Okay. And I think it was -- I think you discussed two tenants moving in to previously vacant space this quarter. What's the incremental NOI going to look like on a quarterly or annual basis? How should we think about that?
Jeffrey Busch: I mean, I think from a re-leasing perspective, it's -- I mean, it -- again, if you focus on the move-ins are not going to be that material from an overall perspective because it will still be just again ins and outs that will occur from that. But adding additional square feet from a lease-up perspective will increase our NOI. But I think overall, we're probably going to be flat from an occupancy perspective in the first quarter as we look ahead. So, I wouldn't factoring of large NOI increase from the lease-up in Q1.
Aaron Hecht: Understood. Thanks guys.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the floor back over to management for closing comments.
Jeffrey Busch: Well, thank you, everybody. Look forward to next quarter call. Take care.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.